Randy Giveans: All right. Thank you for standing by, ladies and gentlemen, and welcome to the Navigator Holdings Conference Call for the Third Quarter 2024 Financial Results. On today's call, we have Mads Peter Zacho, Chief Executive Officer; Gary Chapman, Chief Financial Officer; Oeyvind Lindeman, Chief Commercial Officer; and myself, Randy Giveans, Executive Vice President of Investor Relations and Business Development in North America. I must advise you that this conference call is being recorded today. As we conduct today's presentation, we will be making various forward-looking statements. These statements include, but aren't limited to, future expectations, plans and prospects from both a financial and operational perspective and are based on management assumptions, forecasts and expectations as of today's date, November 7, 2024, and are subject to material risk and uncertainties. Actual results may differ significantly from our forward-looking information and financial forecast. Additional information about these factors and assumptions are included in our annual and quarterly reports filed with the Securities and Exchange Commission. With that, I now pass the floor to Mads Zacho, the company's CEO. Please go ahead, Mads.
Mads Peter Zacho: Good morning, and thank you for joining this Navigator Gas Earnings Call for Q3 2024. Please turn to Page 3. To begin with, I will review the key data of our Q3 2024 performance, and then I'll go over the outlook for the rest of the year. Gary, Oeyvind and Randy will then bring more detail and analysis. In the quarter, we generated more revenues, up 3% compared to the same period. This was driven by a higher TCE rate. Adjusted EBITDA for Q3 came in at $68 million, slightly below the $72 million earned in the unseasonally strong Q3 of last year. The balance sheet is strong with a robust cash position even after we repaid on our debt facilities and continued deploying capital into our Ethylene Terminal expansion. The return of capital continued in Q3 with both the $0.05 fixed dividend and the share buyback up to and in combination 25% of net income. This will continue after the Q3 result. In October, we issued $100 million of new unsecured bonds at 7.25%. This included the tightest spread of any dollar-denominated shipping bond issue in the Nordic market since 2008. Commercially, we continued pushing up TCE rates and secured an average Q3 TCE rate of just over $29,000, which is 11% higher than the same period last year. This is remarkable given the somewhat softer market conditions compared to the same quarter of last year. We achieved utilization above 90% in line with our guidance, albeit it was below the 93% that we saw same period last year. We are overall pleased with our ability to push up TCE rates in a market that was temporarily hit by softer transport demand. Throughput at our joint venture Ethylene Export Terminal was significantly down at 122,000 tons for the quarter. This was caused by Hurricane Beryl and the following disruption to ethylene production and inventory levels. The expansion of the terminal continues on track for completion in Q4 2024, with progress payments continuing. We have for some time now talked about the significant opportunities lying ahead for Navigator within the transportation of CO2 and clean ammonia. So we're pleased to have announced progress on both fronts. Within CO2, we've entered into an MOU with Uniper, and within ammonia, we committed a small but important investment into Ten08. None of these will absorb or produce significant cash flows in the near term, but both are paving the way for new, potentially very significant markets for Navigator. We remain confident about the outlook for our business for both the near, mid and long-term. We expect vessel utilization to be higher in Q4 than what we've seen in Q3, and we expect to continue to renew our expiring time charters at higher rates. We'll also have more available vessel days as this year's intensive dry docking program is coming towards the end. We expect the Ethylene Terminal export volumes to return to near nameplate capacity in Q4. With solid demand for transportation on handysize gas carriers, older vessels being sold out of international trade and limited supply from newbuildings in our segment, we expect that these robust market conditions will continue. Please turn to Page #4. On this page, we just want to highlight our consistently improving ranking in the Webber Research ESG scorecard, which was just released. As you may know, the Webber scorecard places particular focus on corporate governance topics like absence of conflict of interest, board independence and transparency. We are very pleased to be ranked among -- to be ranked third among the 64 listed companies, and many of these are leaders in the segments and also subject to SEC regulation as we are. So that means it's a strong benchmark we are comparing ourselves to. Going forward, we'll commit ourselves to continue striving for yet higher standards in governance and transparency. So that was just a summary. And with that, I'll just hand it over to you, Gary, so you can give us a little bit more detail about the financial result. Please go ahead.
Gary Chapman: Sure. Thank you, Mads, and welcome, everybody. Our third quarter 2024 financials show another robust result, maintaining our solid trend over many recent quarters now. Jumping straight in on Slide 7. Following a good operating period, adjusted EBITDA was $67.7 million in the third quarter of 2024, coming from continuing robust charter rates and stable utilization, but somewhat offset by marginally lower time charter equivalent rates in this third quarter compared to the second quarter of 2024, as we typically expect due to seasonality, results from our terminal, which Oeyvind will explain shortly, and also slightly elevated general and admin costs. Unfortunately, we can't report yet another record quarter this time, but to keep context, we consider the results are still strong and we are already seeing the fourth quarter of this year looking like it will be better than this quarter. And overall, our total operating revenue was $141.8 million in the third quarter of 2024, with a still robust utilization of 90.9% against 91.4% on average for the first two quarters of 2024, and continuing very healthy time charter equivalent rates that were on average $29,079 per day in the third quarter compared to $28,954 per day on average in the first two quarters of 2024 and up from $26,728 per day for the third quarter of 2023. In this third quarter of 2024, vessel operating expenses were slightly up at $43.5 million compared to the third quarter of 2023, but flat compared to the second quarter of 2024. And depreciation was broadly in line with the previous quarter at $33.3 million and only marginally up compared to the third quarter of 2023. Our general and admin costs of $9.4 million in the third quarter are down compared to the second quarter of 2024, though they were still slightly elevated compared to our run rate as we booked some further nonrecurring costs in the third quarter, mainly legal costs related to the secondary public offering of 7 million common shares by the BW Group, recalling that we concurrently bought back 3.5 million of those shares, which were then canceled. Our noncash unrealized movements on our non-designated derivative instruments resulted in a further loss in the third quarter of $5.2 million against a loss in the second quarter of 2024 of $1.6 million and a loss of $1 million in the third quarter of 2023. This all being related to movements in the fair market value of our long-term interest rate swaps, which affects our net income, but which had no impact on our cash or liquidity. We also reported a noncash unrealized gain on foreign exchange in this third quarter of $3.2 million. Our income tax line reflects current tax and mainly deferred taxes primarily derived from our investments and share of profits in our Ethylene Export Terminal at Morgan's Point. And overall, net income attributable to stockholders of Navigator Holdings Limited was $18.2 million, with a basic earnings per share of $0.26 and adjusted net income, which excludes unrealized gains and losses on derivative instruments and foreign currency, being $20.1 million or $0.29 per share. Ethylene Terminal throughput volumes in Q3 2024 were 121,634 tons, resulting in a contribution of $2.2 million from our Ethylene Terminal joint venture. And as usual, Randy will give some more detail on the terminal shortly. Our balance sheet shown on Slide 8 remains very strong, with a cash and cash equivalents balance of over $127 million at September 30, 2024. This is despite paying out $24.1 million for scheduled loan repayments and share buybacks in the second quarter, $8 million in progress payments for our Ethylene Terminal expansion project. And on September 4, 2024, we repaid a further $40 million against one of our revolving credit facilities. These repaid revolving credit facilities remain available for us to be redrawn, meaning that our total available liquidity at September 30, 2024, was over $196 million. And we currently anticipate further positive cash generation from our operations in the fourth quarter. On Slide 9, we recently closed two transactions that have helped us to push out some of our debt maturities, further improve our liquidity and, at the same time, lower our average cost of debt. In August 2024, we entered into a new 6-year secured term loan and revolving credit facility of up to $147.6 million, which was used to refinance our existing March 2019 secured loan facility that was to mature in March 2025 to repurchase on October 29 the Navigator Aurora pursuant to our existing October 2019 sale and leaseback arrangement, and also for general, corporate and working capital purposes. This new facility in total released just over $43 million in additional liquidity to the company on improved terms over our existing 2019 facility and was fixed at a new lower margin of 190 basis points compared to the facility that it replaced, and which margin is significantly below the margin within the then existing sale and leaseback arrangement. We're also very pleased to repeat that the margin of 190 basis points includes a sustainability-linked adjustment of 5 basis points, reflecting our continued commitment to concentrating our efforts on the environmental impact of our fleet. Then on October 17, 2024, the company successfully issued $100 million of new senior unsecured bonds in the Nordic bond market. These new 2024 bonds will mature in October 2029 and bear a fixed coupon of 7.25% per annum. And we used the proceeds to call and cancel our previous 2020 bonds that paid a coupon of 8%. And this call transaction settled on November 1, 2024. We then have one debt maturity due in just over 1 year's time in September 2025, which refinancing has already been planned and which may result in a positive liquidity event for the company again, and we'll provide more updates on this as it progresses. On Slide 10, our leverage remains in a strong position and reducing quarter-on-quarter with net debt-to-adjusted EBITDA at 2.3x for the 12 months to September 30, 2024. And our net debt-to-capitalization was under 32% as of September 30, 2024. We are continuing to reduce our debt with more than $100 million of average annual scheduled debt amortization payments during 2024 through 2027. And with our refinancing work streams, we're also looking to target further reductions in the average cost of our debt. There remain a couple of cash calls in the fourth quarter of 2024 that total around $63 million for our terminal expansion project that are still scheduled to be paid from cash on hand until potential new financing arrangements are completed, likely in 2025. Just to note that there may be some smaller CapEx contributions for the Terminal expansion project that end up scheduled in Q1 2025 as project invoices close out, but importantly, noting that Q1 2025 is also when revenues from the capacity expansion are expected to commence. On Slide 11, we outline our latest estimated cash breakeven for 2024 at $20,930 per day, which shows a slight increase per day compared to the previous quarter estimate, but which figure is all in and includes our scheduled debt repayments and our heavier dry dock schedule this year. Even considering this, our breakeven level relative to today's charter rates, recording that average TCE for the third quarter was $29,079, provides very substantial headroom for Navigator to generate positive EBITDA throughout the shipping cycle. As usual, on the right is our daily OpEx guidance for 2024 across our different vessel segments, ranging from our smaller vessels to our larger, more complex ethylene vessels. And following below is guidance for the fourth quarter of 2024 as well as updates for the full year across vessel OpEx, general and admin costs, depreciation and net interest expense, all of which are substantially unchanged from the guidance given in our second quarter 2024 presentation. Slide 12 outlines our historic quarterly adjusted EBITDA, showing this third quarter steady figure and demonstrating yet again the very positive and consistent results we've been able to report for many quarters now. And despite a temporary dip in the ethylene arbitrage this quarter, which Oeyvind will cover shortly, we currently expect our results to continue their trend in the fourth quarter of 2024. On the right side of Slide 12, we show our historic adjusted EBITDA bar for 2023, our last 12 months adjusted EBITDA and an annualized adjusted EBITDA based on the average of the 3 quarters' results. In addition, the EBITDA bars then to the right provide some sensitivity and illustrate an increase in adjusted EBITDA of approximately $18 million for each $1,000 increment in the average time charter equivalent rates per day. Then on Slide 13, we have 18 vessels scheduled for dry docking during 2024, of which 12 were completed as at September 30, with an expected total for the 18 vessels of 584 off-hire days and total drydocking CapEx estimated to be $31.8 million, all of which, as we often say, is scheduled, fully costed and included in our cash flow plans. As we've set out before, some further detail on the expected timing and cost of these dry docks is then shown below. Also, as we've explained previously, we take our dry dock opportunities to install energy saving technologies on our vessels at a total cost of around $4.8 million in 2024, with many of these technologies having a very short payback period, helping us to improve our environmental impact, improve our operating efficiency and gather better data to make further future improvements. On Slide 14, we wanted to provide some more color on our recent bond issues. Many of you will know that the bond market today is issuer-friendly. And with our fourth and previous 2020 bond coming up for maturity in 2025, we decided somewhat opportunistically to refinance that bond early, given the terms we believed we could achieve and as the bond market environment can change abruptly. We were able to mobilize quickly and get to a $100 million book that was oversubscribed with many high-quality names, eventually settling at a coupon of 7.25%. We issued $100 million of bonds, but have $200 million as borrowing limit, giving us flexibility to potentially draw up to a further $100 million in the future. The bond priced, as Mads has mentioned, with the tightest spread for any U.S. dollar-denominated shipping bond in the Nordic market since the financial crisis in 2008 at 371 basis points. And we have data to show that point on Slide 15. And there are some well-known names on this list. Navigator has a long history of bond issuances, and we think making the top of this list demonstrates that we have, over time, strengthened our credit story substantially from our initial bond in 2012 to today and even since 2020. And although we are in a favorable market, which we recognize, we would not be at the top of this list if it was not also a strong [indiscernible]
Randy Giveans: I think we lost Gary. Oeyvind, are you still there?
Oeyvind Lindeman: Yes.
Randy Giveans: Okay. Let's move on to the commercial slide.
Oeyvind Lindeman: Yes. Thank you, Randy. And I've been part of the bond story since 2012, and the tightest margin for 15 years is quite an achievement and represents where Navigator has come from and the strong position we're at. So on to the commercial slides. So the demand for our transportation services continues to originate primarily from the petrochemical and ammonia industries, which together account for two-thirds of our fleet's employment. The remaining one-third serves LPG customers. We guided to approximately 90% utilization for the quarter and ended the period at 91%, a strong result considering that third quarter is historically somewhat slower compared to the rest of the year. Additionally, we actively managed the impact of the U.S. Gulf hurricane season by switching what vessels we could from ethylene to ethane trades, limiting the downside. As mentioned in our last call, Hurricane Beryl made landfall in the Houston area in early July, adversely affecting ethylene production and exports. I'll provide more detail on this in the next two slides. In brief, however, the adverse impact was short-lived. Today, ethylene prices have returned to competitive levels and exports through Morgan's Point are back to nameplate capacity. This has led to strong utilization in October, reaching nearly 94%. Consequently, we are guiding higher utilization for the fourth quarter compared to the third quarter, which was still a strong quarter, by the way. Turning to Page 18, we can see more details on American petrochemical exports. It's no surprise to see continued growth in U.S. natural gas production. It is always reassuring to check the EIA website for the latest figures because they keep going up. The increase in NGL production keeps U.S. gas prices low, which is important. And you should join us in Houston next week for our Investor Day to learn more about the current market dynamics and, more importantly, the industry outlook, especially for NGL production for the remainder of the decade. In any case, here's a sneak peek. The forecast is very encouraging for our business, by the way. Back to the hurricane. The middle graph clearly shows the impact of Hurricane Beryl. During this period, ethylene producers reduced operations, resulting in down capacity, represented by the light blue area. Production cuts aren't ideal when we're looking to have excess supply for export markets. Fortunately, this has now corrected with cracker operating levels back to pre-hurricane rates. This was expected by the industry and is positive to our business. The year-on-year exports of ethylene and ethane on handysize vessels from the U.S. are displayed in the right-hand graph. Following the bold salmon pink line, you can see a dip due to Hurricane Beryl. But today, the situation has normalized, with October volumes actually exceeding those of prior October months, which is very important. We previously mentioned that the post-hurricane correction of ethylene prices are back to normalized levels and is a key element for ethylene exports. So on Page 19, the bottom graph illustrates the significant price correction, the gray line representing the domestic price of U.S. ethylene. It peaked in July and August, as you can see there, but has now returned to normal levels. This price adjustment has widened the arbitrage to Europe and Asian markets. The middle graph shows various points in the ethylene value chain. Freight rates based on Argus' latest pricing assessment now is supporting $270 per ton for freight to Asia. This compared to $170 per ton when we held our second quarter earnings call in middle of August. The $100 per ton difference in freight -- in arbitrage represents a meaningful difference, $1.2 million to be exact for a typical handysize cargo of 12,000 metric tons. In addition to higher freight rates, physical volumes through the terminal have returned to nameplate capacity with 86,000 tons passing through our terminal in October, being the largest volume for more than 6 months. Higher freight rates and increased volume are obviously positive for us. On Page 20, we see a positive trend in freight assessments. The green line representing our ethylene vessels has recently risen, as the dark blue line for semi-refrigerant vessels also. Compared to the very large gas carrier, indexed in black, our segment has not experienced the same downside volatility in recent months. Strong demand for petrochemicals, ammonia and short sea regional LPG distribution keeps our vessels well employed. Overall, the demand for our transport services is shaping up nicely. On the supply side, as shown on Page 21, the situation remains manageable for the handysize segment. The order book is unchanged at 8% of the existing fleet, while 22% of vessels are over 20 years of age. I'm planning to go more into detail on some of these topics next week in Houston, so come on down there. Randy may even have a fun quiz with prices just like last time. I will stop here and leave the mic to him. Randy?
Randy Giveans: Thank you, Oeyvind, and nice teaser. Following up on several announcements we made in recent months, we want to provide additional details on some of those updated developments regarding those announcements. So on Slide 23, we are pleased to announce our return of capital for the third quarter of 2024. Now before we get to that, I want to highlight that during the third quarter, we repurchased roughly 142,000 common shares of NVGS in the open market, totaling $2.3 million for an average price of $16.67 per share. Now looking ahead. In line with our recently announced return of capital policy and the illustrative table below, we are returning 25% of net income or $4.6 million to shareholders during this fourth quarter. The Board has declared a cash dividend of $0.05 per share payable on December 17, just in time for Christmas, to all shareholders of record as of November 25, 2024, and that equates to a quarterly cash dividend payment totaling $3.5 million. Additionally, with our shares trading well below estimated NAV of greater than $27 per share, we will use the variable portion of the return of capital policy for additional share buybacks. As such, we expect to repurchase $1.1 million of NVGS common shares between now and quarter end such that the dividend and share repurchases together equal 25% of net income or $4.6 million this quarter. Now as seen over the past few years and especially again this past June, returning capital to shareholders will remain a primary focus for us. Turning to Slide 24. In August, we announced newbuilding orders for two new 48,500 cubic meter capacity liquefied ethylene gas carriers at a price of $102.9 million each. The vessels are scheduled to be delivered in early and mid-2027. We also have an option for two additional newbuildings matching the current orders in terms of specifications and price. To note, these vessels will be the largest in our fleet. They have dual fuel engines for ethane. They'll be made retrofit ready for using ammonia in the future as a fuel and be able to transit through both the old and the new Panama Canal locks. Now most importantly, these ethylene carriers will support our Ethylene Terminal expansion as customers who are looking at signing offtake contracts are also looking at securing their shipping needs. As such, discussions are ongoing with multiple customers interested in chartering the ships. And we expect to fix one or both vessels on time charters prior to delivery. Lastly, in terms of vessel financing, we've already paid the initial 10% deposit totaling $20 million in September, and we expect to complete financing arrangements sometime next year. Now turning to our soon-to-be completed Ethylene Export Terminal expansion on Slide 25. Following us on our previous announcement regarding the expansion of the terminal, the project continues to progress nicely, as many of you will see in person next week. Engineering is complete, construction is well underway and the expected completion date remains next month. The project remains on budget with capital contributions required from us to the joint venture for the project still expected to be less than $130 million. To date, we've made progress payments totaling $67 million, and the remaining CapEx is expected to be paid from cash on hand until possible new financing arrangements are completed next year. Now as you can see on the bottom left chart, throughput dipped in July and August as several ethylene crackers along the U.S. Gulf Coast experienced some planned and unplanned outages, coupled with the negative headwinds literally of Hurricane Beryl. Since then, U.S. ethylene production has rebounded, widening that geographical price arbitrage and leading to increased throughput at our terminal in both September and October, as Oeyvind alluded to, which should bode well for fourth quarter volumes and cash flow. As we've seen in recent years, the third quarter is seasonally the softest for throughput, but the contracts are take-or-pay. So the annual cash flow over time is expected to remain firm despite some quarterly movements. As for contracting the expansion volumes, the second and larger and the new multiyear offtake contract is likely to be signed in November or December as the customers already agreed to commercial terms. And we continue to expect that additional capacity will be contracted in the coming months. Now finishing on Slide 26 and following up on Oeyvind's invitation, I too want to personally invite each of you to our 2024 Analyst and Investor Day next week here in Houston, Texas. Tuesday afternoon, November 12, we are going to host our tours at the Ethylene Terminal as well as on our vessel that will be loading ethylene. Later that evening, the management team and members of our Board will host a dinner for analysts and investors. And then the next day, Wednesday, November 13, we will host company and industry presentations covering current market trends, a financial update, as well as our medium-term strategy. We'll then have lunch followed by an appreciation event for all our analysts, shareholders, customers and partners. So every week in Houston is nice and sunny, but let me check here. Yes, the weather next week will be especially pleasant and will match our outlook, clear and bright. With that, I'll now turn it over to Mads for closing remarks.
Mads Peter Zacho: Thanks a lot, Randy. And yes, I'll just sum it all up for you before we go to the Q&A. In summary, we delivered a solid Q3, and we have in front of us a Q4 that has come off to a strong start. We have the strongest balance sheet in the company's history as illustrated by our low leverage ratios and robust cash position. We stay ahead of the curve when it comes to refinancings and refinance well ahead of maturities when we deem that funding is cheap and plentiful. This way, we have driven down low margins to the lowest level ever for Navigator. We continue to pay quarterly cash dividends and buy back shares, and we'll continue to look for opportunities to increase capital distribution to our shareholders. The vessel supply picture remains attractive with the small handysize order book and an aging global fleet. On energy infrastructure, volumes through the Ethylene Export Terminal are recovering well after the summer's hurricane season. The terminal expansion is on time and on budget, with completion set for December '24. I think all this aligns the stars really well for our 2025 business, perhaps very well indeed, because this week, the people of United States elected a new President come January. Trump's campaign has emphasized the opportunities and need for the U.S. to grow energy production and export. So drill baby drill is the catchphrase, and we believe that this should bode well for NGL production and exports. In addition to this, the Trump campaign has also focused on the need to -- for reducing the U.S. trade deficit with its trading partners, in particular China. We think that this will result in China buying more commodities from the U.S., including LPG, ethylene, ethane and eventually also clean ammonia. So all in all, an election outcome that will lead to strong demand for the energy infrastructure that Navigator delivers. Thanks a lot for listening in. And back to you, Randy.
A - Randy Giveans: Thank you, Mads. And very well said. Operator, we'll now open the lines for some Q&A. [Operator Instructions]
Omar Nokta: Hi, Randy. Thank you. Good morning and good afternoon, everybody. Thanks for today’s update. Obviously a lot of good detail, a lot of things happening more towards the positive side, for sure. Couple of questions for me. On the Terminal, I guess maybe just first if I recall and Oeyvind I think you’ve mentioned that you had some Hurricane Beryl disruptions that affected throughput. And they reported income from the terminal. I know it's a small amount in the grand scheme, but just wanted to double check and confirm. The contracts, basically, these are take-or-pay. So you're going to be compensated no matter what eventually for those lost volumes. It's just maybe a little clunky in terms of when that's received?
Randy Giveans: Exactly. Yes, Omar. So with the take-or-pay contracts, if they take the commodity, they pay immediately. If they do not, they have either a quarter or two depending on the contract to make that up or pay deficiencies. So yes, we do expect to receive some of those cash flows that we did not receive in the third quarter, both in the fourth quarter of '24 and into early 2025. And just to make sure we are clear on the Hurricane Beryl impacts, no impact to the terminal itself. They had one small little tree that was down. All the impact was to the ethylene production facilities along the U.S. Gulf Coast. So the terminal was safe and sound.
Omar Nokta: Okay. Thanks Randy for that. And then maybe just a bit broadly kind of on just the terminal situation in the Gulf. And Randy, we've talked about this before. One of the big themes here, I guess, for me the commodity propane export story in the U.S. is we're seeing record volumes leaving the country, but there seems to be a limit at this point into what the ports can handle. Are you seeing, I guess, one, are you seeing demand to ship regular propane out of your terminal? And are there big fees that could potentially be received for doing so? And then -- and I guess, is that even a nonstarter if potentially the infrastructure isn't there to send propane to your terminal? Any kind of thoughts on that?
Randy Giveans: Correct. Yes, the infrastructure at Morgan's Point is for ethane and ethylene only. So there's the only commodities that are being exported out of Morgan's Point at this time. So no appetite or no opportunities for propane exports in the near-term. Now, right, if you give us a few years to change some things around, potentially, but that will not be happening anytime soon.
Omar Nokta: Okay. All right. Thank you. And then last one, just on my side. The slide with the newbuildings, the two ships there, you've got plenty of time until those deliver. It seems like you ordered those with anticipation that there's going to be strong demand for them. You do have those two options that I believe mature or expire in the next couple of weeks. Any thoughts on what you intend to do regarding those options?
Mads Peter Zacho: I can just add a few words here and ask my colleagues to supplement. We have the options, they need to be declared by November 21. So that means that we still have just 2 weeks before declaring them. We have a Board meeting in Houston next week, and this is when we are going to discuss them. So the time works really well for us so that we, you could say, maximize the optionality here and ensure that we have the Board with us when we discuss it and decide on it.
Omar Nokta: Great. That's good color, and yes, we'll stay tuned. Thanks very much. I will pass it over.
Mads Peter Zacho: Thank you.
Randy Giveans: Thanks, Omar. Next caller, your line should be open.
Unidentified Analyst: I wanted to ask about the -- so the newbuilds, I know you had mentioned that you were looking to time charter those out, one or two of them. Just what should we sort of be expecting mostly from a duration, but also from a rate perspective? If you could give us any color on that, that would be helpful.
Mads Peter Zacho: I can just say a little bit about the duration here. When you listened into the conference call and our comments on how we see the market developing ahead of us, we are rather confident that we'll continue to see a tightening in the demand-supply balance over time. And that, of course, should speak towards us ensuring that we don't take too much cover on our book in general. On the other hand, we also appreciate we are conservative, or you could say, cautious people. So we also like the long-term contract cover that we have on a couple of our vessels. So it gives a good balance, you could say, between some of the spot exposures and the long-term time charter contracts that we have in place. So we are a little bit glass half, full people. So having a mix of some short-term cover and some long-term cover is ideal for us. A lot of it depends on where we are going to go with the Board next week and deciding on declaring the options or not. But there's certainly lots of demand from our customer side right now to enter into contracts of varying duration that being, you could say, short a year or two and all the way up to 5 years plus as well. So we are right now having those discussions internally to how we exactly structure that, but we would probably like to have a little bit of a mix across the 2 or potentially 4 vessels.
Unidentified Analyst: Okay. That's helpful.
Mads Peter Zacho: When it comes to rates, yes, there's not so much we can say. Oeyvind, you can pitch in, please.
Oeyvind Lindeman: I mean we can't comment too much on that. Obviously, the rates have to cover certain things on our expectations, but we'll cross that bridge when we get there.
Unidentified Analyst: Okay. Yes. And then more broadly on the time charter contracts for the current fleet, can you sort of talk about what that sort of balance is currently and what the expectations are? You mentioned you want to sort of capture some of the upside, but are you looking to sort of short-term increase or decrease time charters, obviously, when the time charters would be rolling off? What's sort of the game plan there?
Oeyvind Lindeman: Yes, I mean, Frank, with the strengthening market, particularly now in the fourth quarter that we are seeing, generally, our short-term forecast is taking more spot versus time charter cover. The time charter that we do do are also shorter in nature, so from 6 months to 12 months. But overall, a little bit more spot exposure because of the strong fundamentals in the markets with shorter extensions on the ships that are on time charter.
Unidentified Analyst: Okay, great. That’s all I had. Thank you.
Randy Giveans: Thanks, Frank. And also Slides 30 and 31 of the earnings presentation kind of go through the full list. And you'll see there the ethane, ethylene, very little time charter exposure, especially for next year and beyond, and then more so on the fully refrigerated vessels, the semi-refs, those are the ones we're really focusing on the time charters. And you can see that in that fleet list. So looking forward to seeing you next week. All right. Next caller. Your line should be open as well. I believe its [indiscernible]. [Operator Instructions] Hey, operator, maybe we go to the next caller and have [indiscernible] come back. There's [indiscernible]. Hold on. Unmute yourself [indiscernible]. There we go. Can you here us [indiscernible]. Okay. Should we try Climent and come back to [indiscernible]?
Climent Molins: Hey, Randy. Hi, team. Thank you for taking my questions.
Randy Giveans: Hey, Climent.
Omar Nokta: Following up on the questions on the chartering front. You mentioned you're rechartering your semi and fully refrigerated vessels at higher rates relative to last year. And I was wondering, could you provide some further insight on the delta between the two?
Oeyvind Lindeman: It depends a little bit on each ship and each customer and each trade. But if you look at third quarter, if you just use third quarter because it's the conference call for that, it's 29 on average versus 26. So that's a 10% uplift already there across the entire fleet year-on-year. So we are definitely looking at pushing that and testing the limit of where it can go, and that's what we are doing at the moment with the fleet on the spot market, on the time charters that we are trying to extend.
Climent Molins: Makes sense. Thanks for the color. And I also wanted to ask about Blue Street. You signed a memorandum of understanding a few months ago. And I was wondering, could you give us an update on how the conversations are going and whether we should expect FID in a few years?
Oeyvind Lindeman: With the Uniper MoU, they are currently now going and evaluating the current work that we've done with them. It is a pre-FEED study. And then their plan is to go into FEED study at some point during next year. In parallel, the U.K. government needs to put into regulation to support carbon capture shipping sequestration for the CO2. So it's a process that takes time. All going well, maybe something next year, but it takes them 3, 4 years to actually construct all the infrastructure pieces that needs to go into it. So it's towards the end of the decade, all going well where things can be ribbon cut and revenue generated. So stay tuned, but it's a longer game.
Climent Molins: For sure. Thank you. That's all for me. Thank you for taking my questions.
Randy Giveans: Thank you, Climent. Let's see here. [Indiscernible], I believe you submitted the questions. Let me pull those up. For the newbuilding options, any wiggle room on extending those out? Or is there a firm expiration of later this month?
Mads Peter Zacho: I can maybe take that one. The yards are in a seller's market right now, and you can see that there's a lot of demand for the slots. That means that the options that are being granted right now are of extremely short duration in general. So I guess the answer is no. We don't have an opportunity to extend the options as they are right now.
Randy Giveans: Perfect. For the export terminal, is it coming up in the completion 4Q of '24 or next year? Yes, the completion of construction and expansion is late December, so a little over a month from now or 6, 7 weeks from now. And then the ramp time is very limited, right? It's literally switching a damper switch, and I know many analysts and investors will be able to hear and see all about this next week. But yes, we expect that to be fully operational and up and running by January, right, 2025. So I think that is it for the Q&A. Mads, any final words?
Mads Peter Zacho: Just want to repeat what you said before, Randy. Please come down to Houston and have a look at our terminal, at our ship when it's loading and meet management and our Board, and we can have a good discussion about our business. So I hope you'll all come, and thanks a lot for listening in.
Randy Giveans: Thank you all.